Operator: Good day, and welcome to the Abercrombie & Fitch Co. Fourth Quarter Fiscal Year 2025 Earnings Call. Today's conference is being recorded. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. To ask a question during the session, you will need to press star-11 on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star-11 again. I would now like to turn the conference over to Mohit Gupta, Vice President of Investor Relations. Please go ahead.
Mohit Gupta: Thank you. Good morning, and welcome to our fourth quarter 2025 earnings call. Joining me today on the call are Fran Horowitz, Chief Executive Officer; Scott D. Lipesky, Chief Operating Officer; and Robert J. Ball, Chief Financial Officer. Earlier this morning, we issued our fourth quarter earnings release, which is available on our website at corporate.abercrombie.com under the Investors section. Also available on our website is an investor presentation. Please keep in mind that we will make certain forward-looking statements on the call. These statements are subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 and are subject to risks and uncertainties that could cause actual results to differ materially from the expectations and assumptions we mention today. These factors and uncertainties are discussed in our reports and filings with the Securities and Exchange Commission. In addition, we will be referring to certain non-GAAP financial measures during the call. Additional details and reconciliations of GAAP to adjusted non-GAAP financial measures are included in the release and the investor presentation issued earlier this morning. With that, I will turn the call over to Fran Horowitz.
Fran Horowitz: Thanks, Mohit. Good morning, and thanks for joining us today. Before we begin, I do want to acknowledge the situation in the Middle East, with associates and stores in the region. Our focus continues to be on their safety and well-being. Returning to our results, I am happy to report the fourth quarter finished on the higher end of the ranges provided in our early January update. Once again, we accomplished exactly what we set out to do. Holiday product acceptance drove record fourth quarter net sales with balanced growth across regions, brands, and channels, along with growth in earnings per share. As a company, our goal is to set clear commitments and then deliver on them, leveraging our strong foundation and operating model. We achieved another year of consistent results for 2025, with record sales, growth across regions and channels, and leading double-digit operating margins. Substantial operating cash flows also enabled strong returns of cash to shareholders via share repurchases. Looking forward to 2026, we expect to continue on a path of global growth and add to our track record of consistent strong profitability. For the fourth quarter, we delivered net sales growth of 5%, which was balanced across regions, brands, and channels. It was particularly great to see both brands deliver record fourth quarter net sales. At Abercrombie Brands, we achieved our goal of returning the brand to growth with 4% net sales growth on top of a record last year. Hollister Brand continues to deliver for the teen customer, producing an eleventh consecutive quarter of net sales growth at up 6%. With balanced top-line growth and continued financial discipline, we delivered an operating margin of 14.1%, including 360 basis points of tariff pressure. I have to recognize the team's incredible efforts here to meaningfully reduce the impact of these costs. On the bottom line, earnings per share of $3.68 improved 3% on last year's record quarterly results, demonstrating our ability to create value through a balanced combination of global growth, operational excellence, and disciplined capital allocation. Recapping the year, fiscal 2025 net sales were a record $5.3 billion, surpassing $5.0 billion for the first time in company history. We grew over 6%, exceeding our beginning-of-the-year growth projections provided last March. For the third consecutive year, our customers responded to the team's compelling product and engaging marketing, delivering net sales growth across regions led by the Americas, up 7%. Sales also grew across channels for the third year in a row. We continue to see great traffic on digital and in store and, importantly, we continue to see our highest value customers shopping across channels. We delivered an operating margin of 13.3%, or 12.5% adjusting for a one-time litigation benefit, a double-digit result for the third straight year, despite 170 basis points of tariff pressure. On the bottom line, we delivered full-year earnings per share of $10.46, our second consecutive year of EPS over $10, by far the strongest back-to-back performance in our 30-year history as a public company. We also remain committed to shareholder return. With $619 million of operating cash flow after investing back into the business, we returned $450 million to shareholders via share repurchases totaling 11% of shares outstanding at the beginning of 2025. The team worked hard all year, staying fully committed to our customer and our playbooks, and I am proud of the consistency of these results as a clear demonstration of our leading operating model and culture of financial discipline. From a regional perspective, 2025 was another year of progress. In the Americas, we grew net sales 7% on strong cross-channel traffic, driven by compelling marketing across brands and continued store expansion. In EMEA, net sales growth of 6% was driven by double-digit growth in the UK, along with good growth in the Middle East. APAC grew 5% this year, led by solid performance across our digital platforms. Moving on to brand performance, I will start with Hollister Brands, where we set records across the business. I am so proud of what the team has achieved with the global teen consumer. With two consecutive years of 15% growth driven by increases in unit selling and AUR and product, we delivered growth across genders and key categories, showing improved balance on both. We saw great response from a variety of exciting marketing campaigns supporting key product drops, like our Collegiate Collection, the Grad Shop, and an engaging collaboration with Taco Bell. We added millions of new customers in 2025, and importantly, we also saw improved retention. Simply put, Hollister's growth and scale stand out in the teen space and we are excited about what is ahead. At Abercrombie Brands, after a challenging start to 2025 up against a near-perfect 2024, the team rallied and committed to getting the brand back to growth by the end of the year. We did just that, achieving a return to net sales growth for the fourth quarter. As we have shared throughout the year, we believe Abercrombie remains a leader for our target customer. We continue to see strong traffic along with growth in customer counts and good retention trends. Reflecting our confidence, we invested across stores, digital, and marketing to bring the brand to life in new ways throughout 2025. Most recently, the brand hosted several amazing activations leading up to the Super Bowl. As an official fashion partner of the NFL, the first of its kind, we had players and their families, several celebrities and league figures, as well as our target customers at a series of events. I was there, and it was incredible to see Abercrombie at the intersection of fashion, sports, and culture. A great finish to our 2025 season and the perfect kickoff to 2026. Our ongoing investments across channels continue to pay off in 2025. We saw growth in the stores and digital direct channels for a third consecutive year, and both remain nicely profitable. In digital, we continue to see strong performance, finishing the year with that channel delivering 44% of total sales. We also surpassed 1 billion visits across our platforms for the first time, demonstrating the scale and direct reach we have with our customers. Stores matter to them too, and we were net openers for a fourth consecutive year, leveraging our digital demand to help us determine where we can better serve Hollister and Abercrombie customers with a physical location. At the center of all these excellent brand, channel, and regional accomplishments was our Read and React inventory model. For the third consecutive year, we chased millions of units to support product demand at healthy AURs, helping to drive top-line growth. Inventories remain tightly controlled, and we finished the year with units up in the mid-single digits. I cannot overemphasize how hard our team works at this, coordinating product across functions, geographies, channels, and partners, all while tariffs were changing the global supply chain landscape week to week. So looking forward, we are very excited for 2026. We entered the year with a strong foundation, which includes two globally relevant brands, a proven operating model, and a strong balance sheet, all managed by a world-class team. For the year, our goals for the company are as follows. First, to grow sales across brands with continued investments in owned and operated stores and digital businesses while adding growth from partnerships and new product categories, like our recent launch of baby and toddler in Abercrombie Kids. Second, to stabilize gross margins as we progress through the year by mitigating as much tariff impact as possible. Third, to continue to invest in tools and technologies to improve our speed and efficiency across the product and customer journeys. A good example of this is the go-live of our new merchandising ERP system this month. We are also moving quickly to leverage AI to benefit the customer, and we are modernizing systems to help us. And finally, to maintain our strong profitability by delivering another year of double-digit operating margins and expansion in earnings per share. We also expect to continue our track record of returning excess cash to shareholders through share repurchases. After closing another record year in 2025, we are off and running on these growth objectives for 2026. We have the team, the experience, and the track record of delivering for our customers and our shareholders. Many thanks to the entire organization that makes this happen every single day. The work continues. And always forward. I will now turn the call over to Robert J. Ball.
Robert J. Ball: Thanks, Fran, and good morning, everyone. I would like to add my thanks to our associates around the world for staying agile and executing consistently throughout 2025. We are really proud of what we have achieved, and we have so much further to go. Starting with Q4 results, we delivered net sales of $1.67 billion, up 5% to last year on a reported basis. Comparable sales for the quarter were up 1%, with approximately 100 basis points of benefit from foreign currency. By region, fourth quarter net sales increased 5% in the Americas, 8% in EMEA, and 9% in APAC. On a comparable sales basis, the Americas was up 2%, EMEA was down 3%, and APAC was approximately flat. Within the brands, both Abercrombie and Hollister delivered record fourth quarter net sales. Abercrombie Brands returned to net sales growth, up 4% over last year on a comparable sales decline of 1%. Hollister Brands net sales grew 6% on comparable sales growth of 3%. Across the business, we saw mid-single-digit AUR growth and low-single-digit unit growth on increased traffic. Across regions and brands, the spread from net sales to comparable sales was driven by net new store openings, third-party channel performance, and favorable foreign currency. Operating margin was 14.1% of sales, coming in at the high end of the outlook we provided in early January, delivering operating income of $236 million, compared to $256 million last year. Adjusted EBITDA margin for the quarter was 16.6% of sales, on adjusted EBITDA of $276 million compared to $293 million last year. The 210 basis point year-over-year decline in operating margin was driven primarily by 360 basis points of tariff expense, which was partially offset in gross margin by 140 basis points of freight cost favorability, both included in cost of sales. Total operating expenses were in line with last year as a percentage of sales, with investments in stores offset by leverage in general and administrative expenses. Marketing was in line with last year as a percentage of sales. The tax rate for the fourth quarter was 28%. Net income per diluted share was above our outlook at $3.68 compared to $3.57 last year. We ended the quarter with inventory at cost up 5%, with approximately three points related to tariffs. Inventory units were also up 5%, including approximately three points related to strategically building receipts ahead of our planned ERP implementation this month. I will cover the rest of our results on an adjusted non-GAAP basis. For the year, we delivered net sales growth of 6%, reaching a record $5.27 billion. Growth was balanced across regions and channels, supported by mid-single-digit unit growth and low-single-digit AUR growth on increased traffic. On a regional basis, net sales were up 7% in the Americas, 6% in EMEA, and 5% in APAC. Across the business, we saw 70 basis points of favorable impact from foreign currency. Comparable sales for the year were up 3%, led by the Americas at 4%, with EMEA approximately flat and a 3% decline in APAC. For EMEA and APAC, the favorable spread between net sales and comparable sales was driven by net store openings and third-party channel performance. EMEA also benefited from favorable foreign currency. By brand, Hollister Brands delivered net sales growth of 15%, and comparable sales growth of 13%. At Abercrombie Brands, net sales declined 1% on a comparable sales decline of 7%, with the six-point favorable spread between net sales and comparable sales driven primarily by store openings and third-party channel volume. Operating income for the year was $661 million, an $80 million decline from 2024's record result, driven by approximately $90 million in tariff expense, included in cost of sales. Operating margin was 12.5% of sales, a 250 basis point decline from 2024, also driven by tariff expense totaling around 170 basis points of sales and additional cost of sales increase driven by product mix. Operating expense as a percentage of sales leveraged slightly, with investments in marketing and store occupancy more than offset by leverage on general and administrative expenses. Adjusted EBITDA margin for 2025 was 15.5% of sales on adjusted EBITDA of $816 million compared to $895 million last year. The effective tax rate for the year was 29%. Net income per diluted share was $9.86 compared to $10.69 in 2024. Moving to the balance sheet, we exited the year with cash and cash equivalents of $760 million and liquidity of approximately $1.2 billion. We also ended the year with current investments of $25 million. For the year, we drove operating cash flow of $600 million and free cash flow of $378 million. For the year, we used $450 million of cash to repurchase a total of 5.4 million shares of stock, 11% of shares outstanding at the beginning of the year. From a direct channel perspective, both stores and digital grew nicely for the third straight year. For the year, 44% of total sales were digital, with Hollister around 31% and Abercrombie around 59%. On the store fleet, we delivered 120 new store experiences including 62 new stores, 11 rightsizes, and 47 remodels. We also closed 22 stores, finishing as a net store opener for the fourth consecutive year. We ended the year with 829 stores, 523 Hollister and 306 A&F, across 5.3 million gross square feet, growing square footage by 4% to last year. Both the stores and the digital business remain highly profitable, with four-wall store operating margins around 30% in aggregate. Shifting to our 2026 outlook, for the full year, we expect net sales growth in the range of 3% to 5% from $5.27 billion in 2025, with full-year net sales growth expected across brands. We are investing for continued growth in the Americas and EMEA from both owned and operated stores and digital channels, as well as from wholesale and licensing partnerships. In APAC, while our business has delivered sales growth in recent years, we do not believe returns have fully reflected the level of investment. Consistent with our commitment to financial discipline, we are undertaking a review of potential strategic alternatives for the region, including the evaluation of options such as partnerships, franchising, and licensing, with a goal of enhanced profitability, optimized capital deployment, and a maintained focus on shareholder value creation. We currently anticipate 40 basis points of favorable impact to net sales from foreign currency. We have assumed modest AUR improvement for the full year, as we have taken some revised ticket pricing across brands largely focused on fashion elements of the assortment. We expect full-year operating margin in the range of 12% to 12.5%. At the midpoint, the year-over-year change reflects approximately 70 basis points of incremental tariff expense, or around $40 million incrementally from 2025, net of product mitigation. Our outlook assumes the 15% global tariffs announced by the administration are effective beginning February 24 and are assumed to remain in effect throughout the end of the fiscal year. No tariff refunds or recoveries are assumed for fiscal 2026. We also expect the first half will be favorably impacted by lower year-over-year freight costs, normalizing in the back half of the year. We are forecasting a tax rate of around 29%. For earnings per share, we expect diluted weighted average shares of around 45 million, which incorporates the impact of 2025 share repurchases as well as anticipated 2026 share repurchases. Combined with the tax rate, we expect earnings per share in the range of $10.20 to $11.00. For capital allocation, we expect capital expenditures in the range of $200 million to $225 million. On stores, we expect to deliver around 125 new experiences, including 55 new stores and 70 rightsizes or remodels. We also expect to be net store openers, with our 55 new stores outpacing around 25 anticipated closures. We do expect net store openings to be relatively balanced across brands, but tilted to the Americas. The company has a strong balance sheet and cash flows. We continue to expect share repurchases will be the primary use of free cash flow. For 2026, we are targeting share repurchases of around $450 million. Turning to the 2026 first quarter, we will go live with a new merchandising ERP this month, which will temporarily impact operations for approximately two weeks. During this time, we will limit inventory receipts and movement across the business, creating a temporary headwind of approximately one to two percentage points of growth for the quarter. We also have some incremental implementation costs in the quarter, so in aggregate, we expect the ERP project will have over 100 basis points of unfavorable operating margin impact, which is factored into our Q1 outlook. Including those impacts, we expect net sales growth in the range of 1% to 3% from the Q1 2025 level of $1.1 billion, with net sales growth expected across brands. We also expect slight AUR expansion for the quarter. On the evolving Middle East conflict, we currently anticipate a slight sales headwind. We will continue to actively monitor the situation alongside our in-market franchise and joint venture partner, with safety as our highest priority. We expect operating margin to be around 7%. In addition to over 100 basis points of impact from the ERP implementation, we expect tariffs will drive approximately 290 basis points of decline, or $30 million net of product mitigation. This will be partially offset by an expected freight tailwind of approximately 160 basis points for the quarter. Marketing investments will also be up around 50 basis points as a percentage of sales, with the remainder of expense in line with Q1 last year in total. We expect a Q1 tax rate around 26%. We expect earnings per share in the range of $1.20 to $1.30, with diluted weighted average shares expected to be around 46 million, including the anticipated impact of at least $100 million in share repurchases for the quarter. In closing, 2026 is underway, and we are executing from a position of strength, supported by a proven model, strong cash flows, and capital allocation. Our outlook is informed by a multiyear track record of delivering on our commitments and reflects our confidence in executing in 2026 and continuing to build towards long-term opportunities ahead. We will now open for questions.
Operator: To ask a question, please press star-11 on your telephone and wait for your line to be announced. Press star-11 again to withdraw your question. We ask that you please limit to one question and one follow-up. The first question comes from Dana Lauren Telsey with Telsey Advisory Group. Your line is open.
Dana Lauren Telsey: Hi. Good morning, everyone, and certainly nice to see the progress. Fran, after the building blocks that you put in place for 2024, for 2025, the collaborations that you did with the businesses, and frankly, returning to growth in the Abercrombie brand, and certainly saw what you saw with the Super Bowl and being the fashion partner. How do you think of the merchandising drivers of 2026 and what you are most excited about to drive growth? And then, Rob, as you think about the building blocks for margins in 2026, how do you think of AUR growth relative to price increases from tariffs and the impact of tariffs on margins going forward?
Fran Horowitz: Dana, good morning. So excited about what we just delivered for both the fourth quarter as well as the year. Most excited that that was delivered with balance across regions, brands, and channels. What is driving our confidence as we head into 2026 is that it is the first time the company has ever done more than $5.0 billion in revenue. It is proof that our model is working. We delivered all of that, to your point, the last three years, double-digit margins, operating margins. Our playbook is working. Our model of chasing—we did not start the year with an expectation of Hollister to drive 15%. But with that model, we were able to chase millions of units to hit another 15% for Hollister. So I am excited about the opportunities ahead, and I am really looking forward to 2026.
Robert J. Ball: Yeah, Dana. So on tariff impact here, our outlook does reflect that 15% being kind of held all the way throughout the balance of the year. Obviously, Section 122 here in the front half of the year, and then we are making the assumption of something pretty substantially similar to that carries us through the back half of the year. How that kind of cadences out: Q1, we talked about this 290 basis point impact on operating margins. That will be fully incremental year over year. We will start to lap small amounts of tariffs in Q2, early towards the back end of Q2. We talked about $5 million of tariff impact in Q2 of 2025, before kind of neutralizing in Q3 and then flipping to a bit of a tailwind for us for Q4. So that is kind of the cadence throughout the year. Total impact—incremental impact of about $40 million here for tariffs on a year-over-year basis. So that is roughly 70 basis points. We feel good about the mitigation strategies that we put in place here as it relates to country-of-origin changes, supplier negotiations, product costing, and then to your last point around pricing, we did take that pricing on spring products starting kind of late Q4. That will ramp as we move through Q1, so really only expecting some slight AUR improvement here in Q1, and then that will build throughout the balance of the year, so give us some modest AUR growth on the full year. We feel good about the mitigation strategies we put in place. We are tracking to another year of double-digit profitability, so excited to take that into 2026.
Dana Lauren Telsey: Thank you.
Operator: And the next question is going to come from Corey Tarlowe with Jefferies. Your line is open.
Corey Tarlowe: Great, thanks, and good morning, everybody. Wanted to ask first on Hollister, how you think about the sort of the right growth algorithm, if you will, for that segment—areas of success from Q4 and then areas of opportunity in 2026? And then I have a follow-up.
Fran Horowitz: Hey, Corey. Good morning. So, yeah, super excited. Big shout out to the Hollister team. I mean, congrats to them on the best year ever, eleventh consecutive quarter of growth. And what is driving that is really being dialed into that teen consumer. For holiday specifically, we saw winners in categories like fleece and graphics and outerwear. We have invested nicely into that business. We opened lots of new stores this year. We refurbished a bunch of stores, spent money on marketing. Our Taco Bell collaboration on Cyber Monday was a terrific success. So I am excited about the team staying dialed into that customer, staying close to that customer. Spring, we are already seeing some nice response from the consumer. So we are excited to see another year of growth.
Corey Tarlowe: That is great. And then just more for Scott and Robert. There have been periods throughout, I guess, the last five-plus years where Abercrombie has invested in ERP systems, and you have not called out impacts. What is different about this implementation specifically? What does it allow you to do going forward? And then how should we be thinking about, again, that impact? Is it acute, or will there be any longer-lasting impacts from it? Thanks so much.
Robert J. Ball: Yeah, great question, Corey. As you noted, this has been a multiyear undertaking for us, and it is great to have go-live in sight here. The system that we are replacing was originally built and released about fifteen years ago, and it was really architected for a very different business than what we are running today. This new ERP system allows us to support both the owned and operated omni business that we have, as well as the expectations of growth that we have across channels and categories, in a more efficient way. In terms of what you are seeing here in Q1 and the reason we have not called out any sales impact in the past is really it has been building. This has been building the system, getting ready for this go-live. What you are seeing here in Q1—we have been running parallel with this nonproduction instance for quite a while now. We have completed all the testing, final development, and now we are ready to go live, and that is what is coming up here in the next days and weeks. We feel like we have done the right work to ensure that we have got the units in the stores to support the sales during this transition. But the risk that we are calling out here in the outlook is primarily related to temporary interruptions in third party, some product interruptions in Chase over the next couple of weeks. In the end, it is all about making us faster as we think about new growth opportunities. So we are really excited to get this new system in place, and we feel like any sort of disruptions are contained to this couple-of-week period here in Q1, and we will be in good shape as we head into Q2.
Corey Tarlowe: Okay. Great. Thanks so much, best of luck.
Operator: Thank you. And our next question will come from Matthew Robert Boss with JPMorgan. Your line is open.
Matthew Robert Boss: Great, thanks. So Fran, on your target for sales growth at both brands this year, how are you managing the intersection between Abercrombie's return to growth and the moderation at Hollister relative to last year? What do you see as normalized growth for the two concepts?
Fran Horowitz: Hey, Matt. Good morning. I mean, our goal is obviously to grow both brands each year. Mid-single digits would be a definition of success for us. We are excited to see our model working. Coming out of fourth quarter where we grew the business again on top of a record and actually having another record year on top of 2024 is certainly proof that our operating model is working. I am excited that you are already seeing confidence in the consumer about some of our—you know, the increases in prices that Robert talked about a little while ago. Those are ramping up in our assortment, but the acceptance of spring has been good so far. So excited. I think Q4, what it defines, honestly, Matt, is a balanced performance, which is growth across brands, regions, and channels, and that is definitely our objective in 2026.
Matthew Robert Boss: Great. And then maybe a follow-up for Robert. Could you just break apart the drivers by brand that support the embedded revenue improvement in the back half of the year?
Robert J. Ball: In the back half of the year—in terms of sales, Matt, is that what you are looking at? Yeah.
Matthew Robert Boss: Yeah, top-line improvement. About first quarter relative to the for the year.
Robert J. Ball: Yeah, so again, if you think about where we came out of Q4, around that plus five and, again to Fran's point, balanced across brands, regions, channels—that is kind of what we are carrying into 2026. The big difference in what you are seeing in that step down from Q4 into Q1 with that one to three guide is really just that ERP impact that we are talking about. It is a couple of points here. But otherwise, it is a pretty consistent build as we think about the full year 2026. And that is how we are running this business. We are setting these clear expectations. We are going to control what we can control, and we have got the operating model that allows us to chase into revenue as we see those trends develop. So we feel like we are in a really good place, growth on growth, and excited to continue that trend here into 2026 in Q1.
Scott D. Lipesky: Yeah, Matt. Hey, Scott. Just want to add towards the end there. As we think about store growth, as Robert noted, we are net store growers here for the fourth year in a row. We will do that again in 2026. And that store growth really ramps up towards the middle half. That is nice fuel to the fire there as we get into the back half of the year.
Matthew Robert Boss: Great color. Best of luck. Thank you.
Operator: Thank you. And the next question will come from Paul Lawrence Lejuez with Citi. Your line is open.
Paul Lawrence Lejuez: Hey, thanks, guys. Robert, just a clarification on the ERP system impact. Is that something that we are going to see throughout the entire quarter, or is that still in front of us? And maybe if you can talk about what you are running quarter to date versus what you expect the next two months to be? Just want to understand the cadence of that impact. That is just the first question.
Robert J. Ball: Yeah, I would say cadence is relatively consistent. Again, you know, we ended fiscal 2025 with Q4 and are carrying that into Q1. The ERP timing is really kind of a two-week period. We are right at the start of it here with the go-live, so it is really contained to that couple of weeks. We have gotten the inventory to our stores to support the Easter peak and the spring break timelines, so we feel good about providing and supporting our stores through there. It is really just a function of this third-party impact here over the course of the next two weeks.
Paul Lawrence Lejuez: So is the right way to think about it that you are running up, let us say, 3% to 5% outside of that two-week period, and that two-week period has got to be down significantly to have a 100 to 200 basis point impact on the whole quarter? Is that the right way to think about it?
Robert J. Ball: Yeah, I do not know if it is down significantly. It actually is more of a—because of the way the third party flows through, it is really more of a comp-to-non-comp compression that you will see here over the course of the next couple of weeks.
Paul Lawrence Lejuez: Got it. And then can you just give us an update on your sourcing base, how you have made changes as we look out to fiscal 2026, just so we can monitor if there are any changes in tariffs by country that we might be able to keep tabs on that?
Robert J. Ball: Yeah, so obviously we have talked a lot about our sourcing footprint over the course of the last year or so. Really proud of that diversified network that we have in place, and it has taken us years to build. We currently source from over 16 different countries. That has been a core enabler for us and our Read and React model. The approach is not changing, Paul. We are always evolving this network to make sure that we can service our brands, help with speed, and optimize costs. To your point, the tariffs have clearly introduced some complexity to the supply chain, but our position here has been pretty consistent, and changes here take time, and you obviously want to get them right and maintain quality levels. So we are focused on building the right partnerships for the longer term. I think as it relates to some of the more near-term news in the Middle East, we do have some sourcing operations there in the region. We have not experienced any disruptions that would have any sort of meaningful impact to the receipt plans that underpin our outlook, so we will keep monitoring that and keep agile with our sourcing base in total.
Paul Lawrence Lejuez: Got it. And then last one, just on the APAC strategic review. What just prompted that? And when should we expect to hear something from you on the outcome of that review?
Fran Horowitz: I will jump in on this one. We have just finished our third year of growth in that region, and we really do believe in a long-term opportunity there. I will tell you, it is just a matter of assessing our go-to-market strategy within that region. We currently go to market several different ways there, and it is our responsibility to make sure that we are doing that in the most proper way for our shareholders. And so that is what the announcement was about.
Paul Lawrence Lejuez: Any timing on that front?
Robert J. Ball: Early days, I would say. The process is just getting started, so we will provide updates as we go forward here as appropriate.
Paul Lawrence Lejuez: Thank you.
Operator: And the next question will come from Marni Shapiro with The Retail Tracker. Your line is open.
Marni Shapiro: Hey, guys. I am curious if you could give us a little bit of an update on some of your licensing efforts, particularly in kids, and what that looked like. And then also just on international, you have had some wholesale efforts. I know I think you are on ASOS, for example. I am curious if your go to market in EMEA and APAC would include more wholesale opportunities like that to sort of build your brand regionally alongside your own efforts.
Fran Horowitz: Hey, Marni. Good morning. I will pick that one off. So yes, to your point, we have launched a global licensing opportunity this year with our kids brand, and we were very pleased with the results. In fact, we think it has actually created a halo for many people who did not even know—many consumers that did not know—we carry a kids brand. We saw some nice growth in both our owned and operated as well as for our licensed partner. We recently launched baby and toddler, which is also very exciting, so we can now capture that customer from age zero and carry them all the way through for lifetime value. Regarding your second question, I would say we are entertaining all concepts—licensing, wholesaling, franchising—as we keep talking about diversifying our operating model. So all of those are opportunities.
Robert J. Ball: Yeah, Marni, as you know, the Europe retail business is very different than here in the United States. So all of those different opportunities are available to us. We have done a few of them in the past, mainly the digital players that you called out. But there are opportunities in the future in each country to be in department stores, run wholesale businesses, potential concessions way down the line. So we are looking at all of that as we think about how we go to market in Europe.
Fran Horowitz: Yeah, if you think about it, it is actually a very exciting time for us. We are getting lots of reach-outs with the health and strength of both of our brands. There is a lot of interest out there. So more to come on that.
Marni Shapiro: Fantastic. And could I just ask you one follow-up on the tariffs? Once we get to sort of the back half of the year and we anniversary all the noise from 2025, and I guess we are more in a steady state as you think forward into, say, 2027, even after 2028. Should you be able to rebuild product margins, or is this kind of the new normal for you guys and for the world?
Robert J. Ball: Yeah, I mean, we will see. We have a fantastic sourcing network. We have got a great sourcing team. We have been able to maintain these double-digit operating margins despite all of these different headwinds that we have faced, whether that be supply chain disruptions, input cost inflation, inflation across all of operating expenses, and now tariffs. So we are working hard. We feel like as long as we put great product out there, connect with our customers, continue to give them a great experience, we have got an opportunity to grow AURs and continue to grow this business and provide a really strong operating margin. The goal would be to try and offset as much of it as possible longer term, but that is a process, and that is what we are working towards here in 2026 with some of the modest AUR growth, and we will see how all that goes.
Marni Shapiro: Great. Thanks, you guys. Thank you.
Operator: And the next question will come from Mauricio Serna with UBS. Your line is open.
Mauricio Serna: Great. Good morning. Thanks for taking my question. First, I just wanted to ask, what have you seen so far in terms of consumer reaction to your ticket increases? And just wanted also to make sure I understood—just by quarter to date, it sounds that the growth has continued to be consistent versus what you were seeing in Q4. Just wanted to get that clarification. Thank you.
Fran Horowitz: Hey, good morning, Mauricio. So first on the ticket prices: we mentioned during our last call that our strategy was to start to see some of these ticket price increases for our spring product. As a reminder, we deliver spring around December week four, January week one. And it was going to be very judicious in things and categories like fashion, for example, and we are holding our commitment to our consumer. We did not raise prices in key categories like denim and opening price point T-shirts. So we are ramping up. It is a portion of our inventory today. The initial response has been good. And we are going to continue with this strategy, and we are going to continue to test and learn as we head through 2026.
Robert J. Ball: Yeah, and on your quarter-to-date trends here, Mauricio, obviously very encouraged here coming off the record fourth quarter with balanced performance across brands and regions. Off to a good start here across both brands and regions for the first quarter. January and then February was a little bit choppy with the winter storms that we saw in the US, but as we have seen things pick up here once we have gotten out of that disruption period, most of the volume for the quarter is still ahead of us, and we are expecting growth in Q1 across brands. The only other piece of disruption would be this ERP implementation that we have got live here in the next couple of weeks, so that will provide a little bit of a one-time headwind for us. But by and large, happy with where we are and excited about how the quarter started.
Mauricio Serna: Got it. And just a couple of follow-ups on the Q1 guide. On the freight, you called out a tailwind for the quarter. Is that based on contracted rate, and does that remain a tailwind for the year, or is that like Q1 peak? And then the other point on SG&A, excluding the marketing deleverage, should it be in line with last year in terms of dollars or percentage of sales? Just trying to get that point of clarification.
Robert J. Ball: Yeah, so I will give you some of the building blocks here for Q1. You called it out. We have got this 290 basis points of tariff headwind—that is all incremental to last year. We do have offsetting tailwinds here. We have got freight—that is about a 160 basis points of tailwind. That has to do with how we have shipped product and our contract rates are in place, so that is a yes on that answer. We do have some slight AUR improvements as well that will help offset some of that tariff headwind. And then we have got this 100 basis points of headwind from the ERP go-live this month. On the expense, really flowing through on the expense side, you called out marketing—it is about a 50 basis point headwind for us in Q1. That is really just timing. On the year, marketing will be around flattish to last year as a percentage of sales. And then the rest of the expense base should be largely in line with last year's Q1 as a percentage of sales.
Fran Horowitz: Thank you.
Operator: And the next question comes from John Kippur with Goldman Sachs. Your line is open.
John Kippur: Hi, everybody. Good morning. Thanks for the question. Just one more thing on the Q1 gross margin. Last year, you guys were lapping carryover inventory drag. It sounds like there will not be any benefit from lapping that. Just wondering how that factors in. And then as a follow-on, what does that sort of imply about your promotional levels going into Q1? And I guess if you could give a forward-looking statement about where you think promo may or may not be going the rest of the year. Thank you.
Robert J. Ball: Yeah, John. You are right—we have talked about this lapping of carryover. That is really a 2024 Q1 dynamic. 2025 was kind of normal. That is the more normal base. So as you think about where we are coming into 2026, nothing that is a major mover up or down related to carryover levels or anything like that. In terms of promos for Q1, we feel great about where our inventory sits coming into the quarter. Again, once you pull out the kind of front-loading of the inventory that we had to execute here for the ERP, we are up 2% on units. That is a great place to be for us. Both brands are really in chase position now, and that obviously gives us the best opportunity to grow the AURs here. So from a promo standpoint, we feel good about it. All baked into that slight AUR improvement that we are expecting here for the first quarter. We are in a good position to get units flowing and inch that AUR up as we move through the quarter.
John Kippur: Great. And then just one more follow-up if I can. Can you guys bracket out what the difference in your expectations between, for the full year, the low end and the high end of the guide? So what has to happen to hit the low end? What are you guys baking into to hit the high end?
Robert J. Ball: I mean, at the end of the day, John, it is all going to be about product execution. We have to put the right product out there, which—we are off to a great start. Feel good about our assortments here in the first quarter. We have to keep doing it and keep executing as we move throughout the balance of the year. We have to make sure that our marketing is resonating. We have consistently driven positive traffic to these brands. We have got millions of customers coming into these brands, and we have to keep that going here. And we will do that with consistent marketing spend. And then we have to provide a great experience in our stores and all of those things. That three to five range—it is all just ranges of outcomes in terms of how we are executing here as we move throughout the year.
Fran Horowitz: The exciting thing, John, is that the operating model that we have created and our ability to chase and stay very agile is key to winning for us. And the example with Hollister last year—we certainly did not set out expecting to pick up 15%, but our ability to chase millions of units and respond to the customer in real time has enabled us to do that. So we are approaching this year the same way, with the expectation from both brands, obviously, to grow in 2026.
John Kippur: Thanks very much. Good luck.
Operator: And the next question comes from Rick Patel with Raymond James. Your line is open.
Rick Patel: Thanks. Good morning. Looking for more color on the building blocks of growth at A&F. Nice to see the expectation for growth. Do you anticipate growth in every quarter, and how do we think about the timeline for a return to positive comps?
Fran Horowitz: Rick, good morning. So yes, excited. The team was hard at work last year. I am excited to see that the commitment that we made to returning to growth for the fourth quarter came to be. As a reminder, being down 1% on the full-year top line was up against our best year ever in 2024. It is just proof that the brand is healthy. We are going to continue to invest in stores and in marketing. Some of the strength that we saw in the fourth quarter were key categories: fleece, outerwear, YPB, and we are seeing nice acceptance already for spring. So our expectation is to continue to grow throughout 2026.
Rick Patel: And just a follow-up on inventory. I appreciate that you are in chase mode, but how do we think about how you are planning units, as we think about the price changes that are happening and the potential for demand elasticity?
Robert J. Ball: Yep. So thanks, Rick. Units in control. Nice, clean, up 5% on the print. Again, up 2% once you exclude that ERP. You know how we operate here. We will keep units tight and aligned with our forward growth for the brands. We are in good shape here, leaving 2025 and heading into 2026. We will continue to flex that muscle and make sure that we are ready to chase across both of the brands.
Rick Patel: Thanks very much.
Operator: Thank you. And the next question will come from Janine Hoffman Stichter with BTIG. Your line is open.
Janine Hoffman Stichter: Hi. Good morning. So on the product execution, can you speak to what you have been seeing on conversion, particularly at the Abercrombie brand? I think it was down a bit in 2025, but you did see some improvement as the year went on. What did you see in Q4 into Q1? And maybe some comments on Hollister conversion as well. Thank you.
Robert J. Ball: Yeah, I would say it is more of the same, Janine. We were making progress. The teams leaned in on the A&S side, stayed focused on that consumer, executed against key learnings all the way throughout the year, and at the same time, going back to Rick's point here, we kept units in control all the way through, and that allowed us to chase through. That drove improvements in conversion as we moved throughout the year, and we saw more of the same headed into Q4. And similar story there with Hollister. Conversion has been a nice—it has been something that has built as we moved throughout the year. So it reflects the confidence that we have in the assortments that we are putting out there for our consumers, and we are looking to do more of the same here as we move into 2026.
Janine Hoffman Stichter: Okay, great. And maybe just a follow-up to Marni's question. It has been a while since you issued a long-range margin target. A lot has changed—12% to 12.5% this year. Is that kind of the right level for the business? And if we were to see upside to that, excluding changes to tariffs, where would that come from?
Robert J. Ball: Yeah, great question. Not going to provide guidance beyond 2026 today, but I think we can talk through some of the underpinnings of the margin constructs that we are talking about, which I think addresses both yours and Marni's questions. I think it is important for us to anchor ourselves that over the past few years, this operating model has delivered double-digit operating margins across all different kinds of environments. So last three years, we have gone through freight changes. We have had inflation. Input costs from a product standpoint fluctuated all over the board, and obviously tariffs here for the last bit. As you think about what underpins this business, it is highly cash generative. We have got highly profitable stores and digital businesses, and we are building capabilities in third party to really accelerate that growth in more of a capital-light way. Our balance sheet is in great shape and allows us to fund into all of these things and invest in these brands and still return hundreds of millions of dollars to our shareholders through share repurchases, which I think is in our track record. We have returned over $1.2 billion back to shareholders through cash since 2021 through share repurchases, and we are looking to do more of the same here. So all of that really gives us a lot of confidence as it relates to the durability of this model. While I am not going to extend any sort of guidance beyond 2026 today, we do think that the fundamentals of this business are incredibly strong, and they position us well to maintain these healthy earnings growth as we continue to build here in the long term.
Janine Hoffman Stichter: Perfect. Thanks for the color.
Operator: I show no further questions in the queue at this time. I would now like to turn the call back over to Fran for closing remarks.
Fran Horowitz: I just want to thank everyone for joining the call today, and we look forward to updating you all on our progress soon.
Operator: This concludes today's conference call. Thank you for participating, and you may now disconnect.